Operator: Good morning and welcome to the IRET Fourth Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Steven Swett. Please go ahead.
Steven Swett: Thank you and good morning. IRET’s Form 10-K was filed with the Securities and Exchange Commission yesterday after the close. Additionally, our earnings release and supplemental disclosure package have been posted on our website at www.iret.com and filed yesterday on Form 8-K. Before we begin our remarks this morning, I want to remind you that during the call, we will be making forward-looking statements about future events based on current expectations and assumptions. These statements are subject to risks and uncertainties due to factors discussed in yesterday’s Form 10-K during this conference call and in the risk factors section of our Annual Report and other filings with the SEC. Actual results may differ materially and we do not undertake any duty to update any forward-looking statements. Please note that our conference call today will contain references to financial measures such as funds from operations or FFO and net operating income or NOI that are non-GAAP measures. Reconciliations of non-GAAP financial measures are contained in yesterday’s press release and definitions of such non-GAAP financial measures can be found in our most recent supplemental operating and financial data, both of which are available in the Investor Relations section of our website at www.iret.com. With me today from management are Mark Decker Jr., President and Chief Executive Officer; and John Kirchmann, Executive Vice President and Chief Financial Officer. Also joining us is, Andrew Martin, Executive Vice President of Operations; and Anne Olson, Executive Vice President and General Counsel, who’ll be available for your questions. I will now turn the call over to Mark.
Mark Decker: Thank you, Steve, and good morning, everyone. Welcome to our fiscal fourth quarter and full-year 2017 earnings call. I’ll begin with a summary of fiscal 2017 and provide an overview of our recent activity. John will then provide more detail on our financial results, balance sheet, and liquidity, and then we’ll open up the call for questions. The last 12 months have been an exciting and transformative time for IRET. Just one year ago, we announced our strategic intention to transition our portfolio and become a focused multifamily REIT. Throughout the year, we took meaningful steps to dispose healthcare and other non-core properties, strengthen our balance sheet, and deepen our management bench. As we stand today, we are well on our way to achieving our goals, becoming solely focused on apartments with a high-quality portfolio, superior operating platform, and a flexible balance sheet that supports our future growth initiatives. Our overarching goals remain broad and ambitious, increase the focus, quality, flexibility, and efficiency of all facets of the IRET organization. Our North Dakota market in particular continued to receive much of our attention due to the ongoing performance weakness. We believe our efforts over the last fiscal year to stem the declines and turn the corner are beginning to bear fruit. We implemented revenue management software across our portfolio, which has helped us quickly find bottom on rents in these markets. We took over onsite management from our JV partner in Williston and occupancies are improving. Combining these efforts with some emerging tailwinds, absorption of existing deliveries, limited new supply, and a small pickup in drilling activity should provide better results over the coming quarters. Williston have less than 2% of fiscal year 2017 same-store NOI is not the story, and there’s no shortage of opportunities ahead of us to improve. I’m proud of what our team has accomplished on all fronts. During fiscal 2017, we completed the sale of 32 of 34 senior housing properties for a total sales price of $239 million. We are happy with the pricing for these assets and upon closing on the final two properties in the coming months, we will have fully exited senior housing, taking another meaningful step in simplifying our portfolio and improving our earnings quality. We also sold one medical office property for $21 million to the user who exercised the purchase option in its lease and also paid a $3.2 million lease termination fee. Finally, we sold five additional non-core properties for $27 million, netting approximately $25 million in proceeds. Proceeds from all of these sales were allocated in several ways. In the past 12 months, we’ve paid down $200 million of debt, redeemed our Series A preferred stock, funded open market stock purchases and operating partnership redemptions, reducing our fully diluted share count by 1.4% since last quarter, and a portion was used to fund the purchase of Oxbō, which I’ll discuss more in a moment. As a result, we strengthened our capital position and have a balance sheet with enhanced financial flexibility that provides us with additional capacity to fund our growth. We continue to look for attractive investment opportunities targeting high-quality properties in markets with strong and stable economic and demographic fundamentals, where we can build a meaningful presence over time. To that end, in May, we acquired Oxbō, a 191 unit apartment community in St. Paul, Minnesota for $62 million. Oxbō opened in March and includes sophisticated interiors, a fitness center, indoor parking, and a rooftop pool in terrace. The property is located in close proximity to entertainment, restaurants, employment centers, and local landmarks. This is a good example of the profile of multifamily investments we are targeting and the tactics we’re employing to deliver value. In this case, we purchased the asset just after occupancy began and believe we achieved a modest pricing discount to take the lease of risk. We continue to review potential opportunities in the Minneapolis area, where we have a substantial presence already, as well as other large markets with similar characteristics that are contiguous to our geography. Finally, as you saw with recent announcements, we put in place a new leadership team with deep experience in multifamily operations and investments. Jeff Caira, our new Chairman brings decades of public market experience and along with the rest of the Board provide fantastic vision and support for me, as I assume the CEO role after Tim’s retirement. John Kirchmann, who will speak shortly joined Andy and I on the senior team on April 30, and effective today, as you may have seen in this morning’s press release, is our new Chief Financial Officer. John, most recently served as Vice President of Operations Support at Essex Property Trust and was formerly Corporate Controller and Corporate Treasurer there. Anne Olson, our new General Counsel and Corporate Secretary was most recently in private practice where she focused on real estate development and investment, representing numerous sophisticated owners, investors, and developers. Finally, earlier this month, we announced that Susan Picotte joined us as new Vice President of Asset Management. Sue joins from Greystar and brings deep real estate management and advisory experience to IRET, and we’re pleased to have her on the team. This transformation of our leadership team allows us an opportunity that few companies have to look with fresh eyes and all aspects of our business, to be unburdened by the past and to develop a strategy centered on making investments in markets that have strong multifamily fundamentals and developing an efficient operating platform to provide a best-in-class experience for our residence and drive real value for our investors. Our team is now altogether in Minneapolis and energized and focused on the opportunity to differentiate this company from the diversified REIT we have historically been. We want to provide a great home for our residents, our employees, and our investors and now is the time to do so. On behalf of the Board, I want to thank Tim Mihalick, Ted Holmes, Diane Bryantt, and Mike Bosh for the many efforts and contributions over many years and we wish them the very best. I also want to thank Jeff Miller for his many years as Chairman and his continued wisdom as a fellow trustee. A transformation like this would not be possible without strong leadership from Tim and Jeff, and I’m honored that they chose me to lead IRET. Thank you. And now, I’d like to turn the call over to John Kirchmann.
John Kirchmann: Thank you, Mark. In my comments today, I’d like to review our 2017 results, our balance sheet, and liquidity. Beginning with our financial results, yesterday, we reported revenue of $54 million for the quarter ending April 30, 2017, an increase of 12% from $49 million for the fiscal fourth quarter of 2016. Net income attributable to common shareholders totaled $28 million, or $0.23 per share compared to $0.07 per share for the same period last year. Funds from operation or FFO was $10 million, or $0.07 per share compared to $0.14 per share for the same period last year. FFO for the fourth quarter of 2017 included a $3.2 million write-off of development pursuit costs, a $2.9 million loss and debt extinguishment, $1.2 million in severance costs net of reduced share-based compensation, and a $3.2 million lease termination fee. Excluding these items, FFO would have been $0.11 per share. For the full fiscal year, total revenues increased 9.2% to $206 million from $188 million for fiscal 2016. Net income attributable to common shareholders totaled $31 million or $0.26 per share compared to $61 million or $0.49 per share for fiscal 2016. FFO for fiscal 2017 was $55 million or $0.40 per share compared to $104 million or $0.76 per share for the prior fiscal year. FFO for the fiscal year 2017 included a $3.2 million write-off of development pursuit costs, a $4.9 million loss on debt extinguishment, $2.6 million in severance costs, $1.4 million in redemption cost for the Series A preferred shares, and a $3.2 million lease termination fee. Excluding these items, FFO would have been $0.47 per share. Moving to our multifamily same-store performance, our fourth quarter results experienced increased revenue in average rental rates, which were offset by reduced occupancy and increased expenses in most markets. As Mark mentioned, we continue to feel the impact of the energy sector weakness in North Dakota. Same-store revenue increased by 0.5% year-over-year, with average rental rates up 2.6%, offset by a 2.1% decrease in weighted average occupancy. I would note that while our average occupancy in the quarter was down, we have been achieving higher occupancy in the beginning of our current fiscal first quarter. Property operating expenses increased 5.5% quarter-over-quarter, driven by increases in payroll, utilities and insurance, as well as software and system improvements. As a result of the revenue decline in North Dakota markets combined with broader expense increases, same-store multifamily NOI for the fiscal fourth quarter decreased 3.3%. While this was in line with the expectations we outlined in the last call, we are not satisfied with this decline and have our entire organization focused on finding avenues for revenue enhancement and expense containment. With regards to our balance sheet at April 30, 2017, we had total debt of approximately $789 million, including $42 million of construction financing secured by two apartment developments. During the quarter, we reduced outstanding debt by $150 million, and at quarter end, we had $29 million of cash and cash equivalents and $149 million of availability on our line of credit for total liquidity of $178 million. Two final notes before we open the call for questions. First, to better align our reporting with our multifamily REIT peers, we reviewed and adjusted our capitalization policies, including raising our capitalization threshold from $250 to $500. While we estimate the total impact of these changes will reduce FFO by $2.6 million for fiscal year 2018. We believe that the quality of our earnings and their comparability to our peers are much improved. And second, we are now providing guidance for the upcoming year. I previously mentioned that our fourth quarter FFO adjusted for non-recurring items would have been $0.11 per share. Starting from that number and adjusting for dispositions and development deliveries during the fourth quarter, we believe that $0.09 per share is a reasonable quarterly FFO run rate, given current market conditions and activities. Obviously, the timing of additional transactions, including potential acquisitions and dispositions will affect that run rate and is a major factor impacting our decision not to provide guidance at this time. We recognize importance of providing robust disclosure, including guidance to the investment community and we’ll continue to evaluate providing guidance in the future. With that, I will turn the call over to the operator for your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Rob Stevenson of Janney. Please go ahead.
Robert Stevenson: Good morning, guys. Mark, what are you guys thinking about in terms of timing at this point for the disposition of the medical office portfolio? I mean, I know that you guys were looking at the Duke numbers and the process and wanted to get that cleared out of the way. Is that something that’s sort of sooner rather than later, or are you going to basically try to match that to when you have the ability to more closely or more immediately redeploy the proceeds into apartment acquisitions?
Mark Decker: Good morning, Rob. With respect to the medical office, all I’ll say is, our plan is to be more efficient in timing sales to match opportunity. We won’t comment on the timing of the sale if and when we do it.
Robert Stevenson: Okay, nothing – there’s nothing been added to assets held for disposition at this point?
Mark Decker: No. No, I don’t believe there’s been any change in numbers held, John?
John Kirchmann: That’s right.
Robert Stevenson: Okay. What are you guys thinking is the lease up time period in the stabilized cap rate on Oxbō?
John Kirchmann: In our acquisition underwriting, we have that leasing up by next March, and we are underwriting, that’s roughly a 5% stabilized cap rate assuming full occupancy and full taxes, et cetera. Right now, we’re on plan with our underwriting and frankly weren’t trying to beat our underwriting, but right now, we’re right on plan.
Robert Stevenson: Okay. And then as of today, I mean, other than the medical office portfolio, the two remaining senior housing assets, what’s left in terms of sort of non-apartment assets left in the portfolio?
John Kirchmann: I’m going to ask, Anne, go ahead.
Anne Olson: On the non – in the non-apartment portfolio, we have some industrial buildings and some small commercial buildings. We currently have a few that are under contract for sale and the plan is to pursue disposition of those assets over the next fiscal year.
Robert Stevenson: Okay. Thanks, guys. I appreciate it.
Mark Decker: Thanks, Rob.
Operator: The next question comes from Jim Lykins of D.A. Davidson. Please go ahead.
Jim Lykins: Good morning, everyone. First of all, the higher occupancy costs or higher occupancy that you mentioned, was that Bakken specific, or were you talking about overall trends for the whole portfolio?
John Kirchmann: On a year-over-year basis, I think, we’re about flat year-on-year. And then occupancy, that was specifically – the comment was specifically referencing Williston and the Bakken, probably most notably at Renaissance Heights, which isn’t part of the same-store portfolio, but we took over management of that in December, I guess, formally in January, but we started in December that transition plan and we’ve taken occupancy from about 50% into the mid-70s.
Jim Lykins: And could you – sorry, go ahead.
John Kirchmann: No, that’s it. Go ahead.
Jim Lykins: I was just also going to ask about how rents are trending so far in this quarter as well, I mean, if you’re having to make any concessions in the Bakken?
Mark Decker: I’ll ask Andy. Oh, in the Bakken, go ahead, Andy.
Andrew Martin: In the Bakken, the – we have – there are some concessions, Williston specific being offered in the market, but not as aggressively as previously, and rent rates in the market are holding right about a $1,000 a unit.
Jim Lykins: Okay. And what about the redevelopment program? I think, you guys may have put that on hold. Can you give us a sense where you’re on that, and how you’re thinking about that over the next few quarters?
Andrew Martin: Yes, I’m glad, you asked, Jim. We did place that on hold at the end of April. As you know, we spent about $70 million in fiscal year 2017, and we’re going to evaluate all the value add we brought in and really bifurcated the role of property operations and asset management when we brought in Sue just a few weeks ago. So we’re going to be evaluating all the value add. We’re going to be very focused and targeted on a go-forward basis to make sure we hit our guidelines and generally speaking an 8% to 10% plus return depending on the strength of the market and the strength of the asset.
Jim Lykins: Okay. And kind of along the same lines, if you could just give us a sense for also how you’re thinking about development projects beyond the current two you’ve got right now…
Mark Decker: Yes, so…
Jim Lykins: [Multiple Speakers] focused?
Mark Decker: Yes, we would consider both of those near or fundamentally complete on a roll-forward basis. The way we’re thinking about development, we are looking at deals that have development or are development. We’re looking at those in a structured format where we feel we can gain alignment with a development partner and mitigate some of the risks that come with development. So at this time, we’re not contemplating any on balance sheet self-developed asset. We could do something on balance sheet, but probably wouldn’t do it with our own staff. We actually trimmed our development staff last summer. So at this time, we’re not actively looking at development as the developer.
Jim Lykins: Okay. So you do have a pretty, I think, robust pipeline or potential acquisitions you’re looking at right now, is that correct? Maybe you could give us some color on that.
Mark Decker: Yes, we do have a large opportunity set in front of us. The market is very competitive. We’ve lost on a few things in the last few weeks. The market is very thick in terms of the bidding pool for high-quality assets. The great majority of what we’re focused on is not development. We’re evaluating development and we really endeavor to cost our capital and look at it on an apples-to-apples basis. So, we think about the cost of lease-up, the cost of carry, et cetera, and usually buying something that’s cash flow and scores better when you do that.
Jim Lykins: Okay. Thanks, Mark.
Mark Decker: Thank you.
Operator: [Operator Instructions] The next question comes from Drew Babin of Robert W. Baird. Please go ahead.
Drew Babin: Good morning.
Mark Decker: Good morning, Drew.
Drew Babin: First question just thinking about current management baseline expectations going into the next year. In a general sense, do you expect that same property revenue growth is going to stay positive as it was in the fourth quarter kind of within the range of outcomes that are, at least, being talked about internally?
Mark Decker: Yes, we do. Good morning. And yes, we do – yes, we do expect revenue growth to stay positive.
Drew Babin: Okay. And then on the margin front, obviously, some of the programs have been put into control cost a little more recent. And so, year-over-year margins are still under decline. Is there a quarter of this coming year where kind of all else equally really start to see the impact quickly, or will this be kind of a gradual phase in some of the improvements kind of this gradual margin improvement over time?
Mark Decker: Yes, I would expect it to be gradual, Drew.
Drew Babin: Okay.
Mark Decker: I mean, as you know, we did take some actions that we’re really focused on the corporate side in April. So we did do a small reduction in force. On the operation side, I mean, we’ve been very careful not to break anything there, and Andy and his team have done a good job. So we are going to be continuing to look for more ways to do that better. But I don’t think you’ll see anything sudden that will be a an evolution not a revolution.
Drew Babin: Okay. And on the G&A front, obviously, with the management turnover lots of people have left, but a lot of people are coming in. Is there any way to quantify kind of the net G&A impact we should expect on a run rate basis?
John Kirchmann: Sure, Drew, this is John. So we said in our April press release that we’d save $3.5 million to $4 million, or 800,000 to $1 million each quarter. That was in anticipation of the additions that we were going to have or the people we were bringing in. So forth quarter G&A adjusted for one-time items was $4.5 million. So you should expect at a normalized rate that G&A will be reduced to $3.5 million to $3.8 million per quarter. But we do still have about $400,000 of costs related to this transition that were going to occur in the first quarter of fiscal year 2018.
Drew Babin: Okay, that’s very helpful. And one last one, you’re talking about kind of that $0.09 per quarter FFO growth run rate. If you kind of assume the same FFO to AFFO relationship as it was in the fourth quarter, that would put FFO at about $0.07 a quarter, which is kind of right on top of the dividend payout. Is the policy changed to expense more property maintenance versus capitalizing it? Should that spread between AFFO and FFO maybe tighten because of that change?
John Kirchmann: Yes, that’s right.
Drew Babin: Okay.
John Kirchmann: That’s right. That change doesn’t impact AFFO, it only impacts FFO. So all things – all other things being equal that would tighten.
Drew Babin: Okay, great. That’s helpful. Thank you very much.
Mark Decker: Yes, I guess, I would add, Drew. The $0.09 does – yes, the $0.09, it sounds like you caught this catch – catches the accounting change. I’m not sure we’re clear on that in our prepared remarks, but it sounds like you got that.
Drew Babin: Well, that makes sense. Thank you.
Mark Decker: Thanks, Drew.
Operator: And this concludes our question-and-answer session. I would now like to turn the conference back over to management for any closing remarks.
Mark Decker: We’d just like to thank everyone for their continued interest in the company, and have a happy 4th of July.